Operator: Good morning. This is the conference operator. Welcome, and thank you for joining the Imerys 2025 Annual Results Conference Call. [Operator Instructions] At this time, I would like to turn the conference over to Mr. Alessandro Dazza, Chief Executive Officer; and Pierre Lebreuil, Chief Financial Officer of Imerys. Please go ahead.
Alessandro Dazza: Good morning to all of you. Thank you for joining us today to review Imerys Q4 and full year 2025 results. I think the first word is dedicated to Pierre Lebreuil, our CFO, next to me, our new CFO. Pierre is not new to Imerys. He has been with us for more than 20 years, new in his role. I'm very proud of this promotion because Pierre will bring strong leadership to the team, experience and will guarantee continuity in this business. Pierre, welcome.
Pierre Lebreuil: Thank you, Alessandro.
Alessandro Dazza: And as usual, let me start by giving you some highlights of the year we just closed. 2025 revenue amounted to EUR 3.385 billion, broadly in line with last year. Q4 at EUR 800 million, also broadly in line with last year, both on a like-for-like basis, reflecting, I would say, solid pricing in a market with subdued industrial activity and construction demand in North America and Europe still lacking. Full year 2025 adjusted EBITDA landed at EUR 546 million within our guidance despite currency headwinds impacting EBITDA for the full year for EUR 22 million, and this was particularly evident in Q4 given the devaluation of the U.S. dollar. Year-on-year performance, EBITDA-wise, was also broadly in line with last year at minus 0.4% at constant exchange rates and excluding, of course, perimeter and joint venture effects. So all in all, very resilient for our core business, supported by disciplined pricing and ongoing continuous cost management. Q4 '25, also very similar to the rest of the year. The group generated free operating cash flow for the year of EUR 127 million before strategic CapEx and expenses and around EUR 80 million as reported. Strategic CapEx in 2025 were relating only to our lithium projects, and I will return on the topic a bit later. Imerys structure remains sound, investment grade confirmed. Current net income was EUR 146 million, and the Board of Directors will propose an ordinary cash dividend of EUR 0.75 per share at the shareholders' meeting on May 12 of this year. The payout ratio is consistent with all last previous years. Last important topic, the group did a noncash goodwill impairment of the solution for Refractory, Abrasive & Construction business for an amount of EUR 467 million. We will return on this. This impairment has no impact on the group cash position or financing capacity. It purely reflects an accounting adjustment necessitated by changed market conditions and assumptions do not call into question the soundness of this business, and I will further elaborate on this. Here, we see a little bit our sales performance by geography for the full year and Q4. Europe, main markets posted a light recovery in Q4, which is -- gives us good hope for 2026, improving construction and improving industrial activity. Positive sign for the future. For the full year, however, as we see here, the business is still behind 2024, fundamentally due to low construction, industrial and automotive activity, partly only compensated by good and solid performance in consumer markets. North America, we had a very differentiated picture throughout the year, solid first part and a weaker Q3 and Q4, the trend that we have seen already in the last 6 months, fundamentally impacted by weak industrial construction. Should be noted that a further impact on this activity is the devaluation of the U.S. dollar, which is affecting sales in euro as we report of -- at the level of 5% compared to last year, so very significant. Asia sales continued to grow nicely, not only in India, but also in China, which remains quite dynamic, especially around new technology, electric vehicles and, I would say, strong exports. South America, after a strong first half, slowed down a bit in the second part of the year, partly in relation to U.S. tariffs on Brazilian products. Let's now look rapidly at our main underlying markets and their trends, which, of course, partly reflect already what I just described. But overall, I would say Q4 in line with Q3 in terms of trends, maybe with some signs of recovery in Europe and continuous strong growth of electric vehicles and energy storage. Construction was not a great year, especially in the U.S. In Europe, where we see, however, a reverse of this negative trend, so positive signs for the future. Consumers remains very resilient in all geographies. Automotive, poor in Europe, a bit more stable in the U.S. and a very strong China, very strong EVs as well. And industrial activity normally follows the other markets. So I would say, in line -- I would almost say in line with the average of the others. Imerys does not only rely on underlying markets, we proactively target growth. And in order to give you an idea of some solid avenues of future growth, you see on this slide some of the recent business developments of the group. We start, of course, with our conductive additives business. It's continued to grow, thanks to capacity expansion. You remember in the last 3 years in Belgium as well as in Switzerland, same for our investments, in China, in automotive, lightweighting on polymers in India for refractories and construction. And last example, which we have not publicized a lot, but also because it is still ongoing, a capacity increase for our high-purity diatomite filter aid called Celpure, which is used widely in the pharma business with strong growth, which we will accompany with new CapEx. Together, they are contributing more than EUR 30 million revenue in '25 with further growth ahead as we ramp up sales. Similarly, on innovation, launching new products takes time. That's why it's important to have a pipeline, but it is the basis for future growth. I will not enter into the many details. Here are only a few examples. There is a lot more. Some are already generating commercial sales, some are under qualification and will be the engine of future growth. The fact that specialty minerals have unique and varied properties, this creates new ideas, new applications every year on a continuous basis. And we know, as you know, Imerys has the widest portfolio of specialty minerals in the world. If you look at our -- the development of our EBITDA in this slide, you see the robustness of our business model. On the left side, you can see the evolution of the full year adjusted EBITDA year-on-year. We do have a significant impact of perimeter coming from the divestiture, as you remember, of our assets serving the paper market in July '24. Joint ventures, which did an exceptional year in '24, especially the first part of '24 and exchange rates, FX. If you remove these, let's say, external factors, what is most important, the core activity of Imerys delivered a very resilient EBITDA basically in line with last year despite what we all know was a challenging context in 2025. On the right side, you see the balance between price and costs, which highlights the good and continuous work done by the group, especially on cost reductions, first and foremost, but also on agility to react to market changes in terms of pricing when situation change. This remains and will continue to be a key factor for future success and profitability of this company. An important topic we mentioned today and we go in more detail, we already announced in October with our Q3 results, an improvement program. So here, finally, more details on it. We are launching a cost and performance improvement program named Project Horizon, which aims at restoring our targeted profitability, will consolidate the group's competitive edge, so our competitiveness, will drive efficiencies and facilitate the agility needed in this ever-changing environment. It focuses on simplifying and streamlining the organization of the group. Structurally is important because these savings are here to stay, structurally lowering our cost base, adjusting our industrial footprint and rationalizing our capacity worldwide when possible. The program is ongoing. It is subject, of course, to the completion of the required social and legal processes. On the financial side, on the right, Project Horizon targets annual cost savings of at least EUR 50 million to EUR 60 million run rate per year versus a starting point 2025 cost base. And we do expect to have benefits of at least 50% of the program already in 2026 with the rest coming in 2027. We expect the cash cost of implementing such a program at approximately 1 year of saving, which makes it particularly attractive. Let me now give you a short update on the 2 key -- other 2 key topics for the group, lithium. First, announcements have preceded this call. So you are aware on EMILI in February -- on February 11, we announced that the French state has acquired a minority stake in the project. It is a key milestone for the future of the project. It's an investment of EUR 50 million in the equity of the company, which will support and finance the EMILI project in finalizing the definitive feasibility study until the end of '26 and probably in early '27. As far as our second project, Imerys' British Lithium is concerned, the scoping study, which is the step before the pre-feasibility study, was concluded and finalized in early '26, confirming at the end, a high value and a strategic relevance of this project. However, the group has decided to place the project on maintenance and care. And consequently, there will be no further investments in this project in the nearby future. With regards to the Chapter 11 process of the North American Talc entities, another milestone, the confirmation hearing as planned, started on February 2 and was concluded on time on February 6 at the Court of Bankruptcy in Delaware. We anticipate the court to issue its ruling in the following weeks. The potential confirmation, if positive, will then need to be subject to -- or subject to an appeal will need to be reviewed and affirmed by the U.S. Federal District Court. We remain confident in a positive outcome of this process. Moving to our sustainability performance. I'm pleased to share that we have successfully completed our '23-'25 SustainAgility road map. You see here some indicators. Of course, I will not read them all, but 14 out of 16 have been overachieved. This demonstrates how deeply we have integrated sustainability in the core industrial strategy of this group. And knowing that it is a topic of particular interest, if we focus a bit more specifically on CO2 emissions and climate change, we can look at the next slide. Our Scope 1 and 2 emissions amounted in 2025 to 1.8 million tons of CO2 equivalent. This is a 28% reduction versus 2021, the starting point, which puts us well ahead of the pace required to reach 42% reduction by 2030. On Scope 3, we have already achieved 22% reduction against 2021 baseline, nearing our 2025 target for 2030. This performance is great and derives fundamentally from actions and investments in several areas, in particular, energy efficiency, heat recovery, switching to low-carbon energy. This achievement also confirms that we have met our sustainability performance targets for our 2021 sustainability-linked bond with a positive effect on the interest rate. We've done well in the past. We move on to the future, and we are launching our third road map to building on the experience of the last 8 years and this continuous progress. We've taken the opportunity to strengthen and simplify our midterm objectives and focus really on what stakeholders expect while being, of course, fully aligned with the latest CSRD guidelines. I will not go through the list, but I assure you that our targets are both ambitious but also reachable. I now hand over to Pierre for a detailed analysis of our financial results.
Pierre Lebreuil: Thank you, Alessandro. Good morning, everyone. It is a pleasure to be there with you today for the first time. So let me recap some of the key aspects of our financial performance, starting with revenue. Group sales were EUR 3.4 billion for the full year 2025. This represents a 0.7% decrease at constant exchange rates and perimeter compared to last year with volumes slightly down and prices holding well. As a reminder, the perimeter effect includes a negative impact of EUR 165 million from the disposal of our assets serving the paper market in July '24. It is partly offset by the EUR 50 million of sales generated by the Chemviron business acquired at the beginning of 2025. Currency had a negative effect of EUR 82 million, mostly coming from a drop of the USD versus euro from the second quarter onwards. You can see Imerys performance for the fourth quarter at the bottom of the chart. Trends in sales volume and prices were similar to what we saw for the full year. The currency impact was, however, much more negative. It represented 4.2% of sales and was driven by impact of the weak USD. Let's now have a look more in detail at our 3 business segments. Beginning with Performance Minerals. This business generated EUR 2 billion of revenue in 2025, representing 60% of Imerys group sales. Overall, the business remains very resilient given market circumstances, showing just a slightly negative organic growth compared to last year at minus 1.3%. Full year 2025 revenue in the Americas was down by 1.3% at constant scope and exchange rates versus last year and stood at EUR 841 million. Sales were impacted by a weak residential market in the U.S., suffering from high interest rates, unsold housing inventory and by a soft consumer market. Prices held well. Full year 2025 revenue in the Europe, Middle East, Africa and Asia Pacific region decreased by 1.7% at constant scope and exchange rates compared to last year. Volume were down by 2.8%, driven by muted construction and automotive markets. This decline was partly compensated by a good level of activity in the consumer market. In Q4, the performance was in line with previous quarters. Despite lower volume, Performance Minerals adjusted EBITDA is above last year by 4% like-for-like, a strong achievement, driven by price discipline and cost management. The EBITDA margin was resilient at 17.8%. It is worth noting that performance on the Chemviron, the diatomite and perlite business acquired in January '25, was ahead of expectation, thanks to quick synergies implementation. Let's now look at our solution for Refractory, Abrasive & Construction business. Full year sales to the refractory market were impacted by the low industrial activity in Europe and in Asia, while the U.S. market resisted better. Pricing remained steady. It is worth flagging that organic growth was positive both in third and fourth quarter of 2025, driven by commercial actions and strong sales of advanced ceramic products. Full year 2025 adjusted EBITDA declined by 9.8% at constant scope and exchange rates due to lower volumes, which were partly offset by a positive price/cost balance and cost savings initiatives. Let's now have a look at Solution for Energy Transition to complete this segment review. Starting with Graphite & Carbon. Full year 2025 revenue increased by 11% like-for-like, driven by solid end market, primarily electric vehicles, along with new product launches and robust conductive polymers business. Fourth quarter revenue was stable as some external and temporary factors delayed sales by a few million euros. Full year 2025 adjusted EBITDA increased by 41.2% over the previous year. This substantial improvement is primarily attributable to significant volume increase. Adjusted EBITDA margin reached 25%, a gain of 5.5 percentage points. Let's now focus on TQC results. As a reminder, TQC is our 50% joint venture in high-purity Quartz business. Full year 2025 revenue amounted to EUR 167 million, a significant drop from a record-breaking previous year. Performance was affected by disrupted solar value chain, even if inventories are now at healthier levels. Revenue improved in H2 '25 at EUR 85 million, outperforming both H1 2025 and H2 '24. Full year 2025 net income dropped to EUR 35 million. TQC delivered for the full year a solid 36% EBITDA margin. Now let's look at the group's profitability. For the full year, adjusted EBITDA reached EUR 546 million, corresponding to a 16.1% margin. Looking at Imerys' direct operational performance highlighted in the box in gray color, you can see that EBITDA was very resilient with just a slight decrease of 0.7%, a great achievement given the economic context and supported by price discipline and cost management. On a reported basis, EBITDA decreased 19% in comparison to 2024. This reflects the lower contribution of joint ventures by EUR 74 million, perimeter changes for EUR 30 million and an unfavorable exchange rate effect of EUR 22 million. The picture is similar for the fourth quarter, where adjusted EBITDA matched prior year levels once adjusted for currency fluctuation, changes in perimeter and joint venture performance. Let's now move to the bottom of the P&L. Net income group share is a negative EUR 409 million. As detailed on this slide, it is impacted by other operating income and expenses amounting to EUR 555 million. This EUR 555 million are mostly related to 2 items. The first one is a noncash goodwill impairment charge of EUR 467 million related to the solutions for Refractory, Abrasive & Construction business. This impairment reflects a lower performance of the business plan than anticipated 1 year ago and the fact that antidumping measures on Fused Minerals import from China finally implemented by European Union are less protective than initially anticipated. It is important to flag that markets have eventually stabilized, and we do expect a progressive recovery of this business from 2026 onwards, as already noted in Q3 and Q4 '25 when RAC posted positive organic growth. Savings expected from the Project Horizon should further support recovery. The second items are noncash write-offs related to Project Horizon for EUR 41 million and to the decision to place Imerys British Lithium on maintenance and care for EUR 31 million. Let's now have a look at the cash flow generation. Current free operating cash flow amounted to EUR 78 million in 2025 or EUR 127 million before strategic CapEx. In comparison with 2024 year, free cash flow generation is primarily impacted by a decrease in dividend received from joint ventures, with no dividend received from TQC in comparison with approximately EUR 70 million received in 2024. You will note as well the EUR 26 million increase in working capital, primarily driven by higher inventory in the RAC business area, where we had anticipated a stronger impact on sales of antidumping measures in Europe, which finally did not materialize. Inventory and more generally working capital will definitely be an area of continued focus in 2026. Lastly, paid capital expenditures amounted EUR 317 million. New CapEx booked in 2025 amounted to EUR 297 million, including EUR 47 million related to our strategic investment in the lithium projects. The remaining EUR 250 million recurring CapEx were well below historical level of more than EUR 300 million and below our estimate provided in H1 2025. We do expect that capital expenditures in 2026 will continue to be limited and in the EUR 200 million to EUR 270 million range. This should allow us to achieve a robust cash generation in 2026. To conclude this financial review, let's now look at net debt. It slightly increased in 2025 as a result of strategic CapEx spend and dividend paid. I will highlight a couple of additional points. First, net financial debt went down in H2 2025, confirming the positive trajectory of our net cash generation. Second, we do not expect any significant strategic CapEx in 2026 as the financing of the definitive feasibility study for the EMILI Lithium project will benefit from the contribution of our partner in the project. I would also like to remind you that we successfully placed a EUR 600 million senior unsecured notes last November. The average maturity of our bonds is consequently extended to 4.3 years from 3.4 years at June 2025. Lastly, Imerys' investment grade was confirmed both by S&P and Moody's in second semester 2025. Net debt represents 2.5x the adjusted EBITDA, reflecting the solid financial structure of the group. On this positive note, I will now hand back to Alessandro for the outlook.
Alessandro Dazza: Thank you, Pierre. So let me summarize this presentation by saying 2025 was a challenging year, but I think the group, especially in its core activity, did quite well. We have managed to keep sales flat, our overall EBITDA flat, excluding external factors, FX, perimeter, all JVs. Performance Minerals increased its profitability. Graphite & Carbon was exceptional. And RAC, which was negative compared to last year, posted growth in the second part of the year, which makes me quite optimistic for the future. How do we see '26 going forward? Don't expect a guidance as we -- as in the past, we will not do this. We release it typically after having seen the outcome of H1. Personally, I'm optimistic, but I've learned to be prudent as markets have been slow in recovery. Yes, we expect good construction in Europe, but we are still uncertain on the speed of recovery in the U.S. and automotive, which is a big market for the group, remains difficult to interpret. For sure, electric vehicles will continue to grow strongly in Europe as well as in China. So with this prudence, which is I think needed so early in the year, what I know is that the group will deliver what is in its hands, and I'm talking about our restructuring program, Project Horizon is ramping up capacities that we have built. So they are available. The markets are there. We don't need to invest further. We need to ramp it up as we showed in '25 and will continue, and we'll continue with our innovation efforts because we need to build the future. So thank you very much, and I would like now to open to Q&A.
Operator: [Operator Instructions] First question is from Sven Edelfelt, ODDO.
Sven Edelfelt: Yes. Welcome to Pierre. So I will have a couple of questions. Alessandro, I quite understand the usual view of not giving any guidance, but this year is a bit more complicated to understand because there is a cost cutting, construction of somehow improving in Europe. You mentioned that you managed to the core business, you managed to make it stable this year. So if you add up the number of EBITDA for '25 plus the cost cutting, it's probably a minimum. Hello?
Alessandro Dazza: Yes, we hear you well, Sven.
Sven Edelfelt: Okay. Sorry, I've got another call. And secondly, on asbestos, it seems that it's going extremely well since the last hearing. I see a lot of certificate of no objection being published. So there is a hearing on the 24. Can we consider a positive outcome as early as next week? And the last question is on CapEx. I think you mentioned EUR 250 million. Is it a maximum? And can we expect CapEx to be a little bit below this level?
Alessandro Dazza: Thank you, Sven. Many questions. I'll try to address them all. As I said, we don't give a guidance. Therefore, I will not comment what '26 looks like. Yes, we will do the cost-cutting program because it's in our hands. I trust that construction will rebound, especially in Europe, but it's not in my hands. That's the market. And we know we have seen construction in the U.S. rather slowing down in the second part of '25. So we do need construction in the U.S. also to be solid before we can say, yes, it's going to be a good year. And that's why my prudence, which is really we are exposed to markets. If you remember a year ago in this room, I said '25 will be a good year, volumes will go up. And then we had tariffs and then we had interest rates that did not drop fast enough, and we ended up with a slightly negative volumes. So for me, prudence is the minimum that is required in this very challenging and rapidly challenging world. But we will deliver what is in our hands. And you mentioned CapEx. you've seen the agility of the group. Typically, we invest EUR 300-plus million. We saw that this year volumes are -- sorry, in '25, we saw volumes are not coming, so we could reduce rapidly our CapEx, and we ended up for, let's say, running rate for the core business with EUR 250 million. What will be '26? We will adjust. We will adjust as volumes grow. But I expect in a normal year to be maybe EUR 260 million. Don't forget, there are CO2 rights that now need to be booked as CapEx. So I think in the region, EUR 250 million, EUR 270 million could be a realistic number, and we will really adjust it based on what we need. We have good invested assets. I think it is the new normal to go down to these levels. The EUR 300 million plus is the past. And I remind you that, as Pierre mentioned, in '26, we will not have strategic CapEx because our strategic CapEx was the lithium projects. We have paused the U.K. We have found a partner that contributed capital in France. So for '26, there will be no further expenditures. And I can continue to comment on other cash items, but we'll do it later. Lastly, Chapter 11. We have always been confident. I think it was important to start this confirmation hearing and to conclude it. So it went on time. No surprises. We can remain confident. We shall remain confident, but now it's in the hands of the judge to issue the ruling. It's the final hearing, the confirmation hearing. So it will be a very comprehensive ruling. So I expect several tens of pages, maybe hundreds of pages. So it's something that will take time. I'm convinced because of the complexity of the case and the requirement of the law. Frankly, this 24 date, 24 that you have mentioned is not known to me. We have no outstanding deadline. It's really waiting for the issue of the ruling. So we remain confident, but we can only wait for the ruling. And I think I addressed all your questions, Sven.
Operator: Next question is from Auguste Deryckx, Kepler.
Auguste Deryckx Lienart: I have 2 questions. The first one is on the lithium project in the U.K. The decision to end this project contrast with the positive momentum on prices. What should we conclude from this? Is this project failing to achieve the targeted cash cost? Or is it linked to the French stake in the EMILI project? So basically, what are the reasons for this decision? And the second question is on the cost-cutting plan. A large part of it is for 2026, but there is also costs associated with this plan. So should we expect a net impact close to 0 for 2026?
Alessandro Dazza: Thank you, Auguste, for the questions. The lithium project in the U.K., so British Lithium is a good project. We have finished the scoping. So we know roughly the potential of the deposit, the cost of the CapEx and the cash cost of production tomorrow. It's a good project. Of course, scoping means you have less certainty on these numbers than you have when you do a pre-feasibility study, which is complete in France and/or a definitive feasibility study, which is exactly what we are doing in France. So the project is good and it's not ended. It's paused. Maintenance care means you have something, it's of great value, but at the moment, you decide not to pursue. So we paused it. So we could restart it. It will depend on several things. One of them is do we find investors that join us. I always said we need investors to join us. These projects are too big in size for Imerys alone. So we need investors to join us. So -- and secondly, the project in France is way more advanced. We are at least a year, 1.5 years more advanced in terms of studying engineering pilot plant. So we prefer to go full steam on this one today and focus all our resources on this one and accelerating rather than running 2 in parallel, which would have been complicated. So this is the analysis. Lithium prices, you're absolutely right, jumped. In December, November, when we spoke last time, they were around $10. They are today around $20 per kilo. So they doubled. I remind you, as we always said, we believe the mid-, long-term price of lithium should be between USD 20 and USD 25. That's what all expert studies show. At that price, EMILI Lithium project is more than EUR 1 billion NPV. So we are talking about a fantastic project. Yes, this level of price will raise new interest of investors. So we do expect to receive and we are in discussion to further consider partnering, first of all, as I said, for France, and we will see in the future for the U.K. On the cost cutting, I think your analysis is roughly okay. Costs will go -- cost of implementation -- cash cost of implementation will go with savings. Typically, you will have social plans, redundancy. So the moment you exit people, you will have -- you will incur the cost, but you will have the savings. So I would say, if we manage to achieve at least half of the savings in '26 and a full scale in '27, we will probably have a bigger part of costs in the first year and a bit less in the second year since the overall cost, which I think at 1 year of savings max is very competitive, I would say, because I think we will manage well this cost spending. I think cash-wise, yes, you might be more or less at 0 in year '26. I think it's a fair assumption, whereas we will have the full benefit then recurring from '27 without costs.
Operator: Next question is from Sebastian Bray, Berenberg.
Sebastian Bray: I have 2, please. One is on the level of interest charge. Is the full year '25 level now recorded a good proxy for what to expect in future years? I appreciate that there was a step-up in the cost of interest because of the successful bond refinancing, but I suspect there might be 1 or 2 one-offs in the '25 interest charges. Are we now at a stable good level as we look forward? And my second question is on the Quartz company. It looks like things are getting better. Can you talk a little about the pricing and volume trends as we've moved into the half year of '25 and into '26? Is this business returning to positive pricing territory or is the improvement simply the result of better volumes?
Alessandro Dazza: Thank you, Sebastian. I'll let Pierre comment on the expectation of '26 financial charges compared to '25.
Pierre Lebreuil: Sebastian, so as you rightly pointed out, and as you know, we refinanced in last November, a EUR 600 million bond. Basically, the coupon for the new bond is 4%. Where the coupon for the bond we refinanced was around 1.5%. So it's easy to do the math, as you can see, just mechanically you can expect in 2026, a finance charge increasing by roughly EUR 15 million, all other things being the same.
Alessandro Dazza: And on the Quartz company, your comment is correct, the business is stabilizing and returning to a more regular path of progressive -- slow progressive recovery growth. Inventories are stabilizing in the value chain. Of course, the competitive pressure is there when volumes are lower. So there is more competition that has caused a reduction in pricing in the market. We don't comment specifically on volumes nor on future prices because it's a very small market and therefore, we should be extremely careful. But I would say, overall, a positive -- gradual positive trend to be noticed going forward.
Sebastian Bray: Helpful. Just to clarify on the finance costs. There are no one-off items or anything else in the interest charges for '25, that would mean that the actual level is different to what was reported.
Pierre Lebreuil: That's correct. Nothing worth mentioning here.
Operator: Next question is from Ebrahim Homani, CIC.
Ebrahim Homani: Pierre, congrats for you new position. I have 2 questions, if I may. The first one is on the Q1. The comparison basis will be a bit more challenging. Do you expect the continuing improvement of the organic growth sequentially in the Q1 2026? And my second question is on the impairment. Could you give us more details behind this impairment? And on the EUR 1.3 billion of goodwill in the balance sheet, are there still elements at risk?
Alessandro Dazza: Ebrahim, sequential for me is Q1 on Q4. Typically, Q1 is stronger than Q4. So sequentially, yes, there will be an improvement. If you compare to last year, too early to say because we only saw January. As I said, markets are not rebounding rapidly, as I stated in my outlook. So difficult today to guess. What is for sure still there in Q1 is an FX impact. So the dollar was in Q1 last year, 104. So a very strong dollar a year ago. Then from Q4 -- sorry, from Q2 onwards, similar to where we are today. So we will still have an FX impact in Q1 of 2026 compared to last year, and then it will basically fade away because we will be more closer to current levels with last year levels. Other than that, too early to say. I said, some market share recovery, Construction Europe, paint, others are still in the middle. Automotive, for sure, we will see growth in EVs and battery materials in general. U.S. for me remains still a question mark, so to be seen. On the impairments, it's very simple. The business RAC carries a goodwill, which derives from old acquisition. And the assessment of today's market conditions, and we can discuss basically is an acknowledgment that there is a new normal, especially in Europe after the energy crisis and increased competition from Asia. The value in the books did not -- the goodwill did not represent the real value. So we took this accounting entry. As I said, it's noncash. It has no impact on the company itself. It's a correction. It's an exercise you do every year at the end of the year, which automatically means for all other businesses, we see no need for this. Otherwise, we would have done it. And I think what is important to note is that the business, which suffered in '24 and in '25, as you have seen, if you look back at our previous communication, finally stabilized and even is starting to recover. We had organic growth in Q3 and in Q4. The antidumping measures are in place. They were temporary before. They are in place. Yes, they are less than we expected because there are free quotas for some volumes, but they will bring some relief to this industry in Europe in the future. So I think this business remains solid and should probably post some positive news going forward. I think we addressed...
Pierre Lebreuil: Let me add as well, the RAC business area in addition, as our other business area will benefit from the horizon plan, which you need as well to factor in Europe.
Alessandro Dazza: Absolutely. Competitiveness of the group will be improved, thanks to our cost and performance improvement program, so that will give us an extra competitive lever going forward.
Operator: Next question is a follow up from Sven Edelfelt, ODDO.
Sven Edelfelt: Yes. It's me again. Sorry to come back. I want to better understand this question for Ebrahim on the goodwill. So this EUR 467 million is coming from Kerneos. But I don't think actually Kerneos profit is lower than 10 years ago. I know you bought it in 2017, but I'm not sure Kerneos profit is lower than 10 years ago because of the current EU-ETS on the clinker price surge across Europe. So is it because the Kerneos goodwill has been spread across the RAC business unit? Or is it because Kerneos exposure to China? Just to clarify. And then I would have a follow-up on the lithium project. I'm a bit surprised by the valuation of the project, EUR 150 million or EUR 160 million, if you take into account how much the French state has invested. So is there a commitment from the state to fund more of the project in the coming year? Can you perhaps elaborate on this optionality?
Alessandro Dazza: Sven, I'll let Pierre comment on the concept of goodwill on the business.
Pierre Lebreuil: Yes. Indeed, as you rightly pointed out, goodwill are tested only at business area level, so at RAC level. So the fact that we are now booking an impairment for RAC, you are correct when stating that this goodwill originated from Kerneos acquisition in 2017. But still, we are testing globally the goodwill for RAC. And it does not mean whatsoever that this goodwill impairment is related to a weak Kerneos business. As you understood and as previously mentioned, we are far more suffering from Chinese competition in our Fused Minerals business than in our cement business.
Alessandro Dazza: Correct. Thank you, Pierre. And the -- let's say, the acknowledgment of this change in market condition is really after the spike in energy in Europe, which did not happen in Asia. So the market has changed in competitive terms between Europe and Asia, and that's mostly the high energy intensity products like Fused Minerals. On EMILI, we did not disclose any value, and so I do not comment on the value. And I can confirm that there is no commitment in any form of any of the partners to continue, just a will to work together to develop this project, and we will take decisions when they come. Maybe, Sven, what you correctly noticed is I believe the state today enters or entered at a time where lithium prices were very low and therefore, probably did a good deal joining the project in early stages. Today, I think our project has a higher value. So we will try to find new partners because we want to rapidly ramp it up and do it. So we will need new partners, as we always said. But I am convinced that the cost of joining the project will change given the much better expectations that the market has developed. And you see also in the value of companies producing and selling lithium that have really increased significantly over the last few months. So -- but we will, with our partner, go step by step as we have decided.
Sven Edelfelt: Okay. So -- but can you confirm that the EUR 150 million price roughly is based on the lithium price of $20, not $10?
Alessandro Dazza: No, no, because I don't confirm neither the value nor -- betting on future prices is complicated. So everybody can do his own guess. So there is -- but a deal closed now started for sure, several months ago. And therefore, the starting point was a lower lithium price for sure. That's why I'm saying going forward from now on, I believe the EMILI project has a much higher value because people believe in $20 today. When you are at $10, it's difficult to -- I always believed in $20 per kilo because I think that's the price that the world needs to allow projects to start, to be profitable. Not too expensive, it cannot be $50, $100 or $80 as it was because then cars, batteries will become too expensive, but you need a minimum price to allow projects to exist, to be profitable and therefore investors to invest. And for me, it's anything between $20 and $30. So that's where we are now. It's good for the future. And based on this, we will value the projects going forward.
Operator: [Operator Instructions] Gentlemen, we have no more questions registered at this time.
Alessandro Dazza: Thank you. I see on the screen, we have a question on cash generation for '26. I'll answer it quickly. I would like to compare rather to '25. I believe '25, we had an alignment of events that were fundamentally negative or impacted negatively our cash generation. We spent more than EUR 50 million on the lithium projects on strategic -- what we call strategic CapEx. It will not recur in '26. As we just said, one project is paused. The other one is financed to move forward. We had an increase in working capital, EUR 26 million, as Pierre showed in the previous -- in one of the previous slides, mostly because we expected a strong sales development in RAC when the duties were introduced, the antidumping duties. It didn't come. So we will reduce this inventory. So first, there will be no growth of inventories. On the contrary, this effect should even reverse because we will adjust to the new market, and therefore, it will help significantly '26 cash generations. We did not receive dividends from our main joint venture. I remind you that TQC invested in capacity expansion in '24 and '25 in the U.S. first and in Norway afterwards. As said, therefore, we decided with our partner in 2025 to pause dividends. But the capacity is concluded. The capacity expansion is concluded. Ahead of us, we have a business that will continue to deliver solid net income, solid EBITDA above 30% as we have seen in '26 -- in '25, sorry. So there will be solid cash generation and therefore, pending, of course, agreement with our joint venture partners, but I do believe there will be room to restart paying dividends from this fantastic business. We will pay a lower dividend in '26 compared to '25, which again will generate cash generation for the group. And as you have seen and somebody of you asked, CapEx -- running CapEx day-to-day are under control, and I do not expect a significant increase next year. Therefore, in terms of paid, we will see this level coming down to a more what we book you pay, whereas we are still coming from higher booking and therefore, higher paying than booking. So in general, I think we will see a significant positive improvement in 2026. And I hope I have addressed the question. If there are no further questions, we will close. Let's allow our room to confirm, please.
Operator: We have no further questions registered at this time.
Alessandro Dazza: Thank you very much. Then thank you again for dedicating this hour to Imerys, and we wish you all a good day. Thank you.
Pierre Lebreuil: Have a good day.